Operator: Good day, ladies and gentlemen, and welcome to the Roper Technologies Second Quarter 2017 Financial Results Conference Call. Just a reminder, today's call is being recorded. For opening remarks and introductions, I'll turn the conference over to Zack Moxcey, Vice President, Investor Relations. Zack, please go ahead.
Zack Moxcey - Roper Technologies, Inc.: Thank you, Debbie, and thank you all for joining us this morning as we discuss the second quarter financial results for Roper Technologies. Joining me on the call this morning are Brian Jellison, Chairman, President and Chief Executive Officer; Rob Crisci, Vice President and Chief Financial Officer; Neil Hunn, Executive Vice President; Jason Conley, Vice President and Controller; and Shannon O'Callaghan, Vice President of Finance. Earlier this morning, we issued a press release announcing our financial results. The press release also includes replay information for today's call. We've prepared slides to accompany today's call, which are available through the webcast, and are also available on our website. Now, if you'll please turn to slide 2, we begin with our Safe Harbor statement. During the course of today's call, we'll make forward-looking statements, which are subject to risks and uncertainties as described on this page, and also further detailed in our SEC filings. You should listen to today's call in the context of that information. And now, please turn to slide 3. Today, we will discuss our results for the quarter primarily on an adjusted non-GAAP basis. A full reconciliation between GAAP and adjusted measures is on our press release and also included as a part of this presentation on our website. For the second quarter, the difference between our GAAP results and adjusted results consists of the following items on a pre-tax basis: a $16 million purchase accounting adjustment to acquired deferred revenue relating to software acquisitions, and $1 million of related commission expense. This represents revenue and commissions that those companies would have recognized if not for our acquisition; a $73 million adjustment for amortization of acquisition-related intangible assets; and lastly a $9 million gain on the sale of an Energy product line, less a $2 million charge on a minority investment. And now, if you please turn to slide 4, I will turn the call over to Brian. After his prepared remarks, we will take questions from our telephone participants. Brian?
Brian D. Jellison - Roper Technologies, Inc.: Hey. Thank you, Zack, and good morning, everybody. Here on slide 4, we're detailing the agenda, which will be to start by going through the second quarter financial results, and then look at the segment detail for each of our four reporting segments, and then look at the Q3 and, more importantly, full-year guidance for the company, and take your questions. So, next slide here on 5, we had a record quarter. It's actually an all-time record-setting quarter in our history, in virtually everything you could measure, certainly including revenue, net earnings, EBITDA and cash flow. The asset-light businesses that are really protected by these niches had tremendous execution this quarter, great focus. We've extended our quarterly review process as Zack and Shannon and Rob would be able to drive that and hear what everybody is thinking about for the balance of the year, and it was sort of remarkable how consistent everybody was with really only one business, sort of, down throughout the balance of the year. We'll talk about that later. Everybody else fundamentally at mid-single digit growth and above. Our revenue was up 23% in the quarter to $1.151 billion. We had 6% organic growth. And a great thing is, it really was across all four of the segments. This isn't just related to some bounce in the oil and gas business effect, that really wasn't relevant. The acquisitions, Deltek and ConstructConnect, continue to perform in an exceptional clip. You'll be able to see that when we get into the RF & Software segment. Gross margins were spectacular. They were up 170 basis points to 62.7%. So, I know a lot of other multi-industry types have had cost creep issues, and people worrying about disintermediation and being Amazoned, and you can see that none of those are risks here at Roper. Our earnings or DEPS were $2.24. Our EBITDA was up 26% to $394 million, sort of $1.6 billion run rate. EBITDA margin was up 70 basis points to 34.3%. And our operating cash flow for the first half of the year was up 33% from last year to $550 million. That allowed us to reduce our debt in the first half of the year alone by $570 million. And so, after those record results for Q2, we'll turn now to the income statement, next slide. The income statement, as you can see, revenue, gross profit, EBITDA, interest expense was up from $27 million to $46 million, but easily covered by economic performance. Just a word on the tax rate. What we do is, we take the adjustments, and we assume a 35% tax rate on those adjustments, and you apply the GAAP tax rate, which was 29.7%. And the two together form our tax rate, which is 31% for the second quarter. And we're going to suggest that probably the tax for the second half of the year would be around 30%, a little bit higher in third quarter than in the fourth quarter, which should be a little lower. Net earnings, you can see, we're up 22% to $232 million. Next slide. On slide 7, we'll look at the continuing ability of us to compound our cash flow. Here you see operating cash flow last year through the first half was $414 million. This year, it's $550 million. And I look back five years ago, at the end of June 30 of 2012, our operating cash flow was $261 million, now it's $550 million. Our year-to-date free cash flow represents 23% of revenue, which I think is pretty well a standalone kind of activity from us. And our deleveraging in the first half was terrific. We're down below 3.5 times our debt-to-EBITDA credit facility measurement, and we expect to continue to pay that down throughout the balance of the year. And when we say cash is the best measure of performance, all you have to do is look at these numbers, and see why we're so steadfast in our belief about that. Next slide, if we go to slide 8 here, our asset-light business model. In the first quarter of this year, we actually got to a negative working capital number. And here you'll see we're down to 2.4% negative, and the components are really interesting. If I look at inventory at 4.4% of revenue, five years ago, that number was 7.5%. So terrific results in terms of asset velocity there. Receivables are at 15.9%. Five years ago, they were 17.7%. Our payables are 11.3%, and five years ago, they were 11.5%. Deferred revenue is massively different, 11.4%. It's absolutely astounding number. When you think about the ratios, that deferred revenue at 11.4% is greater and exceeds the payables and accruals number of 11.3%. And that's what drives us down to a negative number at 2.4%. Five years ago, that number was 9.9%. So you got 1,200 basis points improvement in our balance sheet during that timeframe. Five years ago, we had $100 million of deferred revenue. And at the end of this quarter, we had $516 million of deferred revenue. So as we grow, we actually have cash provided to us rather than having to use cash to grow, which is an enormous strategic advantage. Next slide, 9, on our segment detail, we'll go through each of the four – most importantly, I think the gross margins above 50% for all four of our segments, and that's something that everybody running those segments is very proud of. Next slide, 10. We look at the largest segment, now, is the Radio Frequency Technology & Software arena. Here, our revenue was up 64%. Organic growth was up 6%, and FX cost us a point. Deltek was really led by their GovCon business that we discussed in the first quarter. And they were successfully able to launch a new software suite that really targets professional services and consulting firms. And that's off to a good start. Our ConstructConnect business, which has just extreme high-90s recurring revenue, was up high-single digits in their recurring revenue alone in the quarter. And they continue to have expanded opportunities with On Center, as we can cross-sell and do a variety of things there. Most importantly with ConstructConnect, they finally can now, kind of, focus on long-term forward growth. They certainly had to think about their private equity exit all of last year, and the assimilation of some small bolt-on acquisitions. So I think this is the first time they've been able to really behave in a way that creates the long-term behavior that we expect from our businesses. We wound up having our Annual Meeting this year in June in Cincinnati at the headquarters of ConstructConnect, and had our board meeting there, so that they could get an in-depth look at the ConstructConnect team. And we also brought some of the Deltek leadership in to talk about the opportunities we have with the two, and discussed some of the bolt-on acquisitions that we'll be making for these two businesses that they were analyzing prior to our acquisition, and we continue to work with them to see about which ones we might execute and when that would happen. Aderant continued to gain share in the quarter. We're very pleased to see their results. They've had a number of significant wins in large law firms, and so the growth rate there is up to double digits, now. And our toll and traffic project business was markedly better from a margin viewpoint. You might remember, in the first quarter, because tag sales were abnormally low for a variety of reasons, the Saudi project with TransSuite software doesn't really use tags, and the MTA tunnel project is mostly readers and other kind of activity. So, the tag shipments sort of came back to normal here on a relative basis in the second quarter and drove margins. In fact, the leverage in RF, sequentially, is nothing short of spectacular. In the second half of the year, we expect to continue to have sort of mid-single digit growth with continuously good margins and cash performance out of all the software businesses. The tunnel project is going to come full circle in the fourth quarter, where it will still be at a decent rate, but it will have been – the comp really from the prior year would be in that base, so you won't see much incremental improvement in that project in Q4. And we hope to have it completed here by the end of this year. Our tag shipments, though, in tolling should continue to improve sequentially. We're seeing a lot of bid activity, and a lot of people trying to get in front of the infrastructure interest that they hope to capture in 2018, but none of us are going to count that until we see something out of the government. We do expect continued momentum at Deltek and ConstructConnect. And then, Deltek, you should know, is seasonally strong in the fourth quarter, so that'll help our results there. And for the entire segment as a whole, we think we should expect mid-single digit organic growth. So, I'll turn to the next segment on slide 11, Medical & Scientific Imaging. Here, we had, for Medical, organic growth of 5%. Imaging was down low-single digits in the quarter, so the net effect was organic growth for the segment of 4%. FX was a point. The medical products business grew primarily driven by Northern Digital and IPA. The acute software business, which includes our decision support SaaS business for hospitals and diagnostic connectivity, grew and was also helped by some international business that we're growing now. The alternate site healthcare business was fine. MHA performed very well in the quarter, and both SoftWriters and SHP, which are derivatives of that business, did well. The Imaging business, while it declined just modestly on a revenue basis, right at the end of the quarter had considerable order placements and requests for some new camera technology that we've been launching that will go into this cryo-EM space, and it's going to drive an unusual second half of the year where we'll be relatively soft. And the Gatan business in the third quarter, as they're gearing up for this, sort of, changeover to the new camera technology, and then that'll result in an extremely strong fourth quarter for them. So, for the rest of the second half, we still think we'll have sustained kind of mid-single digit growth out of Medical. All three platforms, we think, sort of, will perform similarly in that category. We continue to increase our investment in R&D and channel development for all of those businesses. In fact, in the second quarter of this year, our investment in R&D and channel was up about 18% year-over-year, and yet you can still see margin improvement. Those focuses are really around genetics workflow, some things at NDI that we can't talk about much from a proprietary viewpoint. They're really non-medical electromagnetic applications for virtual reality and augmented reality. We talked about how Imaging will go. And then, mid-single digit organic growth for the entire segment. The next segment, here on slide 12, let's start with Industrial. And then you can see Industrial grew 9% organically with a point of FX. Neptune really had a spectacular quarter. It was a record in every category. And Struers did extremely well. Our fluid handling businesses were fine, and then Roper, which is inside the Industrial segment, did have a bounce-back from abnormally low numbers in the past, but not overly material for the segment, but certainly good news for Roper. On the second half of the year, we think we'll get mid-to-high single digit growth, and we do expect to have a record year for Neptune's water meter business. We've got terrific leverage on the growth, as you can see in the segment, and the same with Energy. So, if we shift to the Energy segment, organic revenue was up 7% here with two points of FX. About 35% of the Energy segment is Industrial. And we made two smaller transactions in here, so we sort of fine-tuned what we're doing. We sold our SETPOINT business, which was a portion of Compressor Controls to (16:06) in the quarter, and that was a little over $10 million. And then, we acquired a Canadian company using Canadian cash to acquire Phase Tech, which is a precision instrument company, that will be managed inside our PAC business. So net, we had a modest outlay of cash to achieve those things. And they'll kind of wash themselves out in revenue, but it will give us some positive EBITDA for 2018. The Industrial businesses, as a whole, grew sort of high-single digits, which were led really by Dynisco's polymer instruments and rubber instruments. You're probably seeing all of the tire companies investing heavily for new technology. Oil and gas had modest growth on improvement in the upstream, but that was largely offset by the continued expected decline at Compressor Controls. So not of a lot of bounce. I mean, those businesses were down dramatically in 2015 and 2016, and they're going to be up a little bit this year. The important thing to think about, the little of portion of Energy that's inside Industrial and then the two-thirds that are sort of inside Energy is that, in 2014, they've represented about 17.5% of the company's revenue. Today, they represent about 8.5% of the company's revenue. So, even a variance in those of any direction will no longer have the effect that it once did for the enterprise. Next slide. If we look at slide 13, the guidance update and – that's on 14, sorry. So, as we look at the guidance, we're going to raise all three categories of our guidance. We're raising the adjusted DEPS to $9.12 up to $9.30. It previously had been $8.98 to $9.28. We actually started the year at $8.82 to $9.22. Revenue, we started the year at 3% to 5% organic. And at the end of the first quarter, we said, well, maybe 4% to 5%. Now, we're going to say it'll be above 5% for the year. And total revenue, we started out the year saying maybe 20% to 22%. And then, we went up to 21% to 22%. Now, we're saying revenue will be above 22% for the year. Our operating cash flow is now going to exceed $1.150 billion for the year. And tax, I think I commented on before, we think that tax rate for the balance of the year will probably be in the 30% arena; higher in the third quarter, lower in the fourth quarter. And then, third quarter DEBS is at $2.24 to $2.30, primarily because of the shifting technology in Imaging with cameras which is going to pull stuff into the fourth quarter and out at the third quarter as people would prefer the new products. I think that's about all there is to say on guidance, all good news. We shift into the summary on the business. You can see that we did have these record results in all of the important categories. Cash return on investment continues to improve at Roper. Most of the multi-industry people are around 20% to 40%. We're going to be over 200% this year. Our cash earnings will be higher. And our networking capital and physical plant, equipment and cumulated depreciation taken together will be lower as a function of sales, and that's what produces the higher cash return. Half of our EBITDA this year, probably a little more than that will come from software and network businesses. We're going to enjoy, as we have in the second quarter, we think, broad-based organic growth throughout the year. The gross margins, which really demonstrate for those of you that are worried about people being disintermediated, which is one of the things that we've spent a great deal of time on over the last five years as we've reinvented the company to assure we didn't buy assets that had that risk, clearly isn't happening when you have 170 point increase in your gross margins. Year-to-date operating cash flow, as I said before, up a third to $550 million. Should be even better in the second half of the year. The existing acquisitions, Deltek and ConstructConnect, sort of outperformed the enterprise anyway. They're just truly exceptional. And our negative working capital gives us an ability to compound cash, as we grow at a faster clip than we have in the past, which was still best in class. And then, by rapidly deleveraging here, taking $570 million out in the first half, with considerable cash still to come yet this year, it sort of demonstrates the reinvention strategy that we had with the kind of deals we've made in 2015 and 2016, and then the fruit of those gets delivered here in 2017. A very disciplined capital deployment process is still alive and well, and you can expect substantial capital deployment in 2018 and beyond, and there may still be some yet this year. It should be a breakout year for Roper, and a year everybody can feel really good about. And lastly, before the Q, I just want to sort of compliment Rob Crisci and Jason Conley and Shannon O'Callaghan, and Zack, and our operating EVPs, Paul Soni and Neil Hunn, in this transition that occurred in the second quarter. It's very seamless. If anything, we've been a little bit more efficient in getting prepared for the call, and I think you'll find everybody is up to speed and knowledgeable about everything that's going on. And it's a nice transition to be able to achieve all that, mostly with internal people. So, with that, I think we'll open it up to questions.
Operator: Thank you. We'll take our first question from Christopher Glynn with Oppenheimer.
Christopher Glynn - Oppenheimer & Co., Inc.: Thanks. Good morning.
Brian D. Jellison - Roper Technologies, Inc.: Good morning, Chris (22:33).
Christopher Glynn - Oppenheimer & Co., Inc.: Good to see the transition, a lot of nice new exciting faces there. Hey, the RF margins, look, they've ramped a little faster from the first Q to the second than I expected. I know the new deals have some more back-half-weighted seasonality. Just wondering if that margin ramp was a little steeper than you expected within the first half.
Brian D. Jellison - Roper Technologies, Inc.: No. Really, the big story there is the Amtech tag business. And in the first quarter, it was extremely low compared to any kind of normalcy, and the margins associated without the operating profit are substantially higher than the service business. Now, Deltek and ConstructConnect certainly helped us well, but it's really the getting rid of the boat anchor that we had in the first quarter that made the difference as large as it is. Now, that said, sequentially, I think they did produce about $25 million OP on – $26 million of revenues, so we probably won't have that same leverage every quarter, but leverage is going to be terrific around here at 40% or so.
Christopher Glynn - Oppenheimer & Co., Inc.: Okay. And then, within diagnostics, just wondering if you could update the broader complexion for genomics and molecular. How that adoption and progression is taking shape there?
Laurence Neil Hunn - Roper Technologies, Inc.: Yeah. Hey. It's Neil Hunn. Good morning to you.
Christopher Glynn - Oppenheimer & Co., Inc.: Hey, Neil.
Laurence Neil Hunn - Roper Technologies, Inc.: So, we continue to invest behind the molecular genetic opportunity. It's a new laboratory being set up in virtually every hospital across the world. The adoption – the number of tests going into practice, it's a slow build, right? So we have to be there to automate the workflows. And we're there today, but we expect this to be a longer-term, multiyear build. And so it's still relatively immaterial in our results today. We'd expect that candidly for the next year or so, maybe two, and then slowly build into a nice, recurring, highly profitable business for us.
Christopher Glynn - Oppenheimer & Co., Inc.: Great. Thanks.
Operator: We'll take our next question from Deane Dray with RBC Capital Markets.
Deane Dray - RBC Capital Markets LLC: Thanks. Good morning, everyone.
Brian D. Jellison - Roper Technologies, Inc.: Good morning, Deane.
Deane Dray - RBC Capital Markets LLC: Hey. I love to give a shout out to the two rookies on the call, if I could. Zack and Shannon, welcome, and best of luck. And, hey, Brian, just maybe we could start off with forward-looking thoughts on the pipeline of SaaS businesses that you're looking at. What the competition is against private equity, staple financing? And then, you did call out as bolt-ons with ConstructConnect and Deltek, and how realistic in near term might those be?
Brian D. Jellison - Roper Technologies, Inc.: So, sort of a bifurcated answer there on the regular deal flow – deal flow for the world is down about 20% the first half of this year over last year, just in terms of M&A activity. Private equities is very aggressive, probably more so than they have been. There people continue to pour money into private equity, so the more money they get, the less discipline they have to be. Their internal rate of returns continue to get reduced, which doesn't get a lot of conversation; and high-yield debt still assumes there's no risk in the world, and so it's really, really cheap. All those things lead to very high-priced multiples. We haven't seen much in the way of a fall off of activity. There've been a couple of things we've talked to people about that probably coming in at maybe two turns of price to EBITDA lower than people were suggesting they would be. Fortunately, we still are seeing a lot of activity that would be attractive for us. We're just being cautious sort of throughout the year to get the balance sheet where we wanted. So I think supply and demand is okay. On these bolt-ons, when we were working in the fourth quarter of last year, we did a lot of work around market development for, particularly, Deltek and, certainly, to some extent for ConstructConnect. So we kind of went through about a dozen different small potential niche bolt-ons for people, and told them we would take a hard look at those beginning in the second half, depending on how the first half went. And certainly, the integration of those businesses, the governance model which has sort of been adopted and in place, and then the in-depth review we had at our board meeting in June has given us confidence to go ahead and execute a couple of these bolt-ons. Whether they'll happen between now and the end of the year or in the first part of next year, sort of hard to predict. There are conversations that were ongoing before we acquired the businesses, and they'll kind of continue to be held; but, there is a possibility we might agree to one or two or three of these, but they wouldn't be large.
Deane Dray - RBC Capital Markets LLC: Got it. And then, a question for Rob. So look, I see operating cash flow for the year is up 33%, but the free cash flow conversion this quarter was a touch light versus your historical second quarters. Was there anything unusual, any timing of payments?
Robert Crisci - Roper Technologies, Inc.: I wouldn't say unusual. I'd say it's true we had two tax payments in the second quarter, right, and no tax payments in the first quarter. So given the fact that we have increasing earnings this year, then we have a little bit higher tax payments. We also had the new bonds that we did last year. That payment hits in the second quarter, so that's another incremental $10 million that happened sort of – $20 million of cash, but sort of think of it as $10 million that would have been in Q1, but actually hits in Q2. I think on a full-year basis, if you look at our current guidance, we're at about 120%-plus operating cash conversion. I think that's important to note. People like to call the sort of new earnings convention cash EPS, and the reality is it's adjusted EPS and our cash number is always going to be quite a bit higher. So we'll do 120% operating cash conversion on the adjusted EPS number on a full-year basis. So I'd say we're right on track, if not above, where we thought we'd be three months ago.
Deane Dray - RBC Capital Markets LLC: Good to hear. Thank you.
Operator: We'll take our next question from Robert McCarthy with Stifel.
Robert Paul McCarthy - Stifel, Nicolaus & Co., Inc.: Hi. Good morning, everyone. I guess the first question I would have is – and I only get two – is with respect to the book-to-bill you saw in the quarter, how would you comment? Would you say it's strong, weak versus your own expectations? How do you expect to kind of channel the fill through the back half of the year in terms of the order environment?
Brian D. Jellison - Roper Technologies, Inc.: I'd say it was strong. We're really trying to avoid talking a lot about, first, because it is so unimportant when you get to all these software businesses. It's not like these book-and-ship business, where they go, but certainly orders were strong in all four segments; book-to-bill was fine. It was over, I think, 1.02 or something.
Robert Crisci - Roper Technologies, Inc.: Yes. 1.02 for the company; book-to-bill at Industrial, 1.05. That's a really good number. We had – we talked about the record year at Neptune. They had a record orders quarter as well. So I think in individual businesses, for us it's very helpful, to Brian's point, overall as a company, as we've moved so much towards software, it's becoming less and less important metric for us sort of at the enterprise level.
Robert Paul McCarthy - Stifel, Nicolaus & Co., Inc.: And then, I guess, taking the vein (30:31) of that question to the working capital, obviously, continued impressive in terms of this transformation to more of an asset-light business model, but help us in terms of what businesses will lead the way in terms of continuing to improve that versus what businesses may be lodestones to there? Maybe talk about the product software mix.
Brian D. Jellison - Roper Technologies, Inc.: So, if you think about half the EBITDA coming from the software and network businesses, generally, all of those – or none of those would really have a positive working capital number. They'd all be modestly negative, some more so than others. Those businesses have extremely high recurring revenue, so the recurring revenue portion doesn't drive a lot more new deferred revenue. It's only the net new businesses they get that drives the deferred revenue. Then, you have the sort of other half of the enterprise that is the product businesses, and those have had – they probably have 90% of the asset velocity improvement that they're going to get over the last, really, 10 years, and in particularly five. You might remember, when I started I said I want to have payables offset the total cost of inventory. And then, all you're doing is managing receivables. And receivables are a different subject, because you get pricing and terms and various things that have to do with growth around receivables. And so, those businesses don't get the benefit of the deferred revenue, but they do get the asset velocity. They continue to get rewarded, sort of, qualitatively for improving the asset velocity. It's such a big part of the culture. I'm sure like somebody like Shannon, who is inside now from outside, probably is surprised at how much time is spent on that in these quarterly audit reviews and how focused our people on the subject. So we'll get continued growth in that. We have sort of forecast about how deferred revenue grows, and that'll help us. The other categories, inventory at 4.4% (32:55) and then receivables at 15.9% are probably about as good as you get. And then, payables at 11.5% (sic) [11.3%] is pretty decent. You get less inventory, it's harder to have extended payables.
Robert Paul McCarthy - Stifel, Nicolaus & Co., Inc.: Best wishes to the new gang.
Brian D. Jellison - Roper Technologies, Inc.: (33:11). One more question here is fine. Okay.
Operator: We'll take our next question, then, from Steve Tusi (sic) [Steve Tusa] with JPMorgan.
Charles Stephen Tusa - JPMorgan Securities LLC: Hey, guys. Good morning.
Brian D. Jellison - Roper Technologies, Inc.: Hey. Good morning.
Robert Crisci - Roper Technologies, Inc.: Hey, Steve.
Charles Stephen Tusa - JPMorgan Securities LLC: Congrats again to the new guys, even though Shannon is not quite a new guy. But congrats on the new position there.
Brian D. Jellison - Roper Technologies, Inc.: (33:39)
Charles Stephen Tusa - JPMorgan Securities LLC: On Sunquest, can you just talk about how the roll-out of, kind of, the new products is coming along there? And just a little bit of color on the organic growth there? And then how you expect that to trend, kind of – any visibility you have on kind of that picking up in 2018?
Brian D. Jellison - Roper Technologies, Inc.: Yeah. Well, we can do that. I think all of the Acute Care businesses are really doing reasonably well. Sunquest in North America has been slower than it has been outside the U.S. I think hospital consolidation, which generally helped the Sunquest brand, the lab portions, (34:16) has been – while there's still been consolidation, they haven't decided to do anything. So that's been slower than normal. But even with that, we're going to have positive growth for Sunquest throughout all of next year. And again, I'd just caution everybody, you've got to look at our diagnostic connectivity business, and GeneInsight and UNIConnect and CliniSys is all part of the Acute Care thing. And in total, they're going to be growing this mid-single digit rate. But Neil maybe want to talk specifically about how we're moving ahead with UNIConnect and GeneInsight and Sunquest's whole brand of activity, because it's really incorporating all of those.
Laurence Neil Hunn - Roper Technologies, Inc.: It is, and we talked a little bit about it before on the molecular genetics tracks. I don't want to repeat that, but we also see good activity and momentum internationally, and then also in our community and connectivity parts of the businesses. So, as Brian said, it's been a sort of as expected for this quarter, and sort of mid-single digit grower for us for the balance of the year and into next year.
Charles Stephen Tusa - JPMorgan Securities LLC: Okay. And any update on growth – anything in Medical? Like, you have the med device businesses that moves around next year that either slows or accelerates? Or is this kind of the – you're kind of at a good solid trend line right now, given some of the puts and takes. Maybe MHA, drug introductions, anything like that that's currently visible that will kind of swing that number around at all?
Laurence Neil Hunn - Roper Technologies, Inc.: So if we take the – let's take the three parts. We just talked about the acute care software on the Alternate Site, MHA software, et cetera. That's a very sort of predictable recurring revenue business. We did lap all the one-timers last year. We don't expect them or see them recurring into next year. We'd expect sort of continued mid-single digit growth in that part of the business. On the product side of the business, it's been, again, a solid mid-single digit grower for us. There's puts and takes, and the growth drivers will be a little bit different next year than this year, but we'd expect it to continue into next year. Mind you, we haven't done our business reviews into next year, and we'll sort of reserve the right to tweak and tune these, but at a high level, that's what we look at. One thing that might be worth commenting on, Brian touched on in the slide, is the investments that we made in R&D and channels across the platform. They're quite broad. They're obviously the ones in diagnostics international and acute care. We made a number of channel investments in Strata. There're some new categories for our SHP businesses there and again to continue the R&D investments in Northern Digital and Verathon to drive product vitality. In this year, incrementally, that R&D is up $15 million to $20 million across the platform. And so we're doing that to sustain or possibly increase that long-term, mid-single digit growth rate.
Charles Stephen Tusa - JPMorgan Securities LLC: How far above the corporate average is Medical R&D at the stage of the game for the segment?
Brian D. Jellison - Roper Technologies, Inc.: So as a percent of revenue for the segment, it's high-single digits as a percent of revenue. That's just R&D. If we include engineering, it's double-digits.
Laurence Neil Hunn - Roper Technologies, Inc.: Oh, yeah, it'd be double digits.
Charles Stephen Tusa - JPMorgan Securities LLC: Yes. Okay. Thanks a lot, guys. I appreciate it. A good quarter.
Brian D. Jellison - Roper Technologies, Inc.: Thanks, Steve.
Operator: We'll take our next question from Joe Ritchie with Goldman Sachs.
Joe Ritchie - Goldman Sachs & Co. LLC: Hey. Good morning, guys, and welcome to everybody on board as well.
Brian D. Jellison - Roper Technologies, Inc.: Good morning, Joe. Thanks.
Joe Ritchie - Goldman Sachs & Co. LLC: So, my first question, it looks like things are just really kind of humming along, especially with the recent acquisitions that you guys have made. And I guess, if you kind of think through those acquisitions really being SaaS-based in industries that historically haven't had a lot of tech, so whether it's legal, construction, government, how are you guys thinking about potential consolidation within those spaces versus adjacencies for other SaaS-based type acquisitions?
Brian D. Jellison - Roper Technologies, Inc.: So, we look at those categories, right? So, the one advantage is when you have a network or sort of platform we have with Deltek and ConstructConnect, or MHA, you can make a small niche acquisition that doesn't have very much profitability, eliminate its cost structure, maintain the investment, get better channel access, and have it be a good deal. So you might find us doing bolt-ons that we would never do as a standalone, whereas, in the old product business, as you would have – perhaps we've done a standalone business here. So I think that profile could change a little bit. We've never really been tied down to a particular expansion in a category, right? I think where a lot of the M&A breaks down in the world is people who try to buy their distribution, or try to buy their competitor, and they're frankly driven by their product line nature of what it is they do, and they don't look outside the box for things that are attractive. We've looked at assets in the insurance industry, we've looked at assets in fintech, there's a lot of things that we've looked at, and we continue. We just want to do the best transaction possible. The wonderful thing about cash return as a metric is, instead of looking at an EVA approach, where as long as it's greater than the cost of capital, you could sub-optimize and do it, we're looking at things that are accretive to the cash-return profile, and it gets us a lot more discipline. The thing I think you'd see we wouldn't do is we're not interested in looking at an SAP or an Oracle type of small platform that applies ubiquitously across a broad series of categories. Basically, we want our software businesses to be providing a solution for a specific type of activity, usually a singular vertical.
Joe Ritchie - Goldman Sachs & Co. LLC: Yeah. That makes a lot of sense, Brian, and I do appreciate the color. I guess maybe going back to prior question and, Rob, just focusing on the cash this quarter was better than we expected as well, how are you guys thinking about the debt paydown for the rest of the year, specifically? And what kind of gross leverage are you guys targeting by the end of the year?
Robert Crisci - Roper Technologies, Inc.: So, we certainly have the ability to pay down quite a bit more debt the rest of the year. If you just look at our cash flow guidance, it's probably giving us roughly $400 million of additional cash that we can use to pay down debt. Now, listen, there's also some acquisition opportunities out there that we certainly could look at doing as well. So I think we came into the year saying we would de-lever by sort of $700 million or more, and we're at $570 million, and we're certainly going to still look to lower that number more throughout the rest of the second half of the year.
Joe Ritchie - Goldman Sachs & Co. LLC: That makes sense. All right. Thanks, guys.
Brian D. Jellison - Roper Technologies, Inc.: We're also focused on increasing our EBITDA.
Robert Crisci - Roper Technologies, Inc.: That's correct.
Brian D. Jellison - Roper Technologies, Inc.: So, there's two sides to that formula.
Operator: We'll take our next question from Joe Giordano with Cowen & Company.
Joseph Giordano - Cowen & Co. LLC: Hey, guys. Good morning.
Brian D. Jellison - Roper Technologies, Inc.: Hey. Good morning.
Joseph Giordano - Cowen & Co. LLC: So, I mean, without tipping your hand, are you talking about Neptune having a great year? You've seen a lot of activity in that market with companies coming to market. How do you view that as – I know Neptune, a good business on its own right, but a little bit different than what you've been evolving towards. So how do you kind of view that business? How it's doing versus what you're seeing in the market? And appetite for those kind of businesses right now?
Brian D. Jellison - Roper Technologies, Inc.: Well, Neptune has been probably the most important acquisition in our history, right? I mean it transformed the company totally. We made the biggest bet that we've ever made on that. We deployed four times the entire EBITDA of the enterprise. We issued equity, we did convertible debt, so we bet the company on Neptune in December of 2003. And it's performed far in excess of what anyone ever believed it would, other than us. We still think they're the – well, they are the market leader, certainly. We're investing considerable money into software development and a variety of technologies. I don't think people have a clue about what we're doing in those spaces. So we remain very committed to Neptune. We appreciate what it's done for this company, and we think it's got a great long-term future. We're not interested in water assets, generally, outside the U.S. Neptune has sort of a different capability in North America. The water meters that you look at in Europe are small and are apartment based. So there is some opportunity for commercial, but we're going to do well on a variety of areas. And some of our newer technologies will have a little bit more global reach than the current technology has. So we're pretty comfortable with it. It's certainly, in our view, the highest valued asset globally, and you wouldn't see us make another acquisition in that arena because nobody performs at our level.
Joseph Giordano - Cowen & Co. LLC: Fair enough. Do you guys care to comment on how Deltek and ConstructConnect are doing margin-wise versus the overall segment average?
Robert Crisci - Roper Technologies, Inc.: Yeah. I mean, from an EBITDA margin, they're right in the sort of mid-30s, right where we said they'd be, kind of, starting out the year. I mean, they're right on track. They're performing very well. If anything, Deltek over-performed a little bit in Q2 versus what we thought they would do in Q3, as they were able to capitalize on some of the GovCon wins a little bit sooner than we expected; but, from a margin perspective, right on line with what we expected.
Joseph Giordano - Cowen & Co. LLC: Okay. And then, maybe lastly, is there any, like, big lumpiness we have to think about with TransCore with some of your big projects? And at this point, you talked about New York wrapping up, you have Saudi, and then – was it Houston (44:38) big one going on now? Is there anything we just need to think of cadence-wise?
Brian D. Jellison - Roper Technologies, Inc.: Yeah. That's not abnormal. Those kind of things happen all the time. The Saudi situation will wind down in 2018, but still will be there, while we'll actually just truncate at the end of the year with the MTA tunnel project in New York. But we're certainly having conversations with people about a variety of other things. I think the last sort of look at kind of a bid situation, we have more bids out, I think, than any time in our history. So it's impossible to predict when they'll happen. I think a lot of people are confused about what the infrastructure situation will be with the government. And those people that feel really bullish about that are at work aggressively and we would benefit from those projects. Whether they ever come to fruition is beyond our ability to interpret.
Joseph Giordano - Cowen & Co. LLC: Thank you, guys.
Operator: We'll take our next question from Jeff Sprague with Vertical Research.
Jeffrey Todd Sprague - Vertical Research Partners LLC: Thank you. Good morning, everyone.
Brian D. Jellison - Roper Technologies, Inc.: Hey. Good morning, Jeff.
Jeffrey Todd Sprague - Vertical Research Partners LLC: Good morning. Just a couple from me. Just at a very high level, is there anything in the ObamaCare meltdown political disarray that kind of ripples through your businesses or showing any signs of change in customer behavior in the near term?
Brian D. Jellison - Roper Technologies, Inc.: I don't think so. Our businesses are really all centered around things that aren't volume variant, so the number of patients treated, things like that, are not very important in the process. It might be slowing down in this hospital consolidation in North America; maybe decisions around that are a little slower. I don't know, Neil, if you want to add anything to that?
Laurence Neil Hunn - Roper Technologies, Inc.: Just briefly, it didn't – when the legislation was passed a number of years ago, it wasn't really a tailwind then. So to the extent it gets restructured or wound down or whatever happens, that we don't expect it, as Brian said, to have a meaningful impact. I do think that hospitals wanting to know the environment in which they're operating in will help their decision cycles, but other than that, no impact for us.
Brian D. Jellison - Roper Technologies, Inc.: I think at the very beginning, you had this meaningful use initiative, and so that did drive up the Sunquest lab piece; but, we knew that. We planned for that and kind of worked around it. That's why we've turned it really into the acute care hospital family of activity. And so, we feel pretty good about that.
Jeffrey Todd Sprague - Vertical Research Partners LLC: Also, just thinking about your gross margins, particularly in the software-oriented businesses, particularly, you're still relatively new in this transformation as a company and the headline gross margins look fantastic. But do you think about what your entitlement gross margin is there, where these businesses should be over time? I would think you don't believe they're over-earning. So to – correct me if I'm wrong, but to what degree do you see margin upside in those businesses?
Brian D. Jellison - Roper Technologies, Inc.: Well, I think you want to be careful. The gross margins are really pretty good. Medical gross margins are 72%, (48:05) right, but then you have a higher rate of R&D, and channel investment in Medical, and you got a higher SG&A. Everything is getting sold direct, nothing goes through distribution. So the net yield is really quite high, but you don't manage those businesses like you do a product business. We're squeezing everything out. If you look at Industrial, there those gross margins are like 51%, but the SG&A is extremely low and you got a little bit of R&D and manufacturing overhead. So they're just different kind of businesses. I think we have learned how to manage all of the things in the portfolio really quite well, and that's why you see 170 basis points improvement in our gross margins (48:57).
Robert Crisci - Roper Technologies, Inc.: Yeah, a number of our software businesses have R&D well into the double-digits as a percent of revenue. I mean, a company like Deltek is in the teens. So it's really about R&D investment, which you would – certainly you can do given the high gross margin, and still generate EBITDA margin in the 30%, 40% plus range. It's very standard for those businesses.
Jeffrey Todd Sprague - Vertical Research Partners LLC: And then, just lastly for me. Good answer previously on Neptune, but what do you see moving into 2018 from a project opportunity or otherwise that would give you some indication on how to think about growth next year?
Brian D. Jellison - Roper Technologies, Inc.: For the enterprise as a whole, we haven't really done a lot of that, but when we go through our quarterly review governance process, we kind of talk about what people see and I think most people have, just as basically, they see the second half of this year as quite similar to the first half of this year. I don't think they see a trend that's really different going into 2018 than 2017.
Robert Crisci - Roper Technologies, Inc.: And Neptune in particular, there aren't large projects, right? We have the big – you might recall the big Toronto project a few years ago. It's a bunch of small projects in general, just growth in the market. They gained share over the past couple of years, and they're holding that share and they're just growing a little bit ahead of the market. So that's very standard for Neptune.
Jeffrey Todd Sprague - Vertical Research Partners LLC: Great. Thank you, guys.
Operator: We'll go next to Richard Eastman with Robert W. Baird.
Richard Eastman - Robert W. Baird & Co., Inc.: Yes. Good morning. Just a quick follow-up there really on the Industrial Tech business and Neptune. When I look at the order growth, kind of mid-teens order growth, was that pretty dispersed across the three pieces of the business there, Neptune Materials and Analysis and Industrial Pump business? Because you had raised – it appears that you raised maybe the second half growth guide, core growth guide for IT to mid-to-high single digits. Just – what weighted towards the high-single digit here at this point?
Brian D. Jellison - Roper Technologies, Inc.: Yes. I think, well, as you know, Neptune is about half of the segment. And Neptune had record orders and good backlog for second half delivery. So that's really the big difference. We have a small piece in that segment that's upstream oil and gas, which has been strong but a very, very small number, and there's really no change to our outlook on those businesses, Roper Pump in particular. It's really – I would think Neptune would be the reason for the slight upgrade in organic for the segment.
Richard Eastman - Robert W. Baird & Co., Inc.: I see. And then, also just a question, Brian, when you look at the acquisitions here over the last few years and your movement to the application software area, the medical area, could you just kind of maybe speak to the international growth opportunities in those newer businesses? And does it kind of accelerate your opportunity to grow internationally, given the software penetration that you've had?
Brian D. Jellison - Roper Technologies, Inc.: Each one is different, so you can't really make a sort of blanket statement. So ConstructConnect is more around a North American strategy, that is a very global business. It's serving professional services, it doesn't matter where they are, whether they're in Europe or they're in Australasia or – quite large business reach for that business. The CBORD business is really for the most part a North American business with a little bit of activity in the Middle East and English-speaking territories. I would say it's not – it's not radically different than the rest of the businesses. There are just a couple of the software businesses that really aren't focused on international opportunities.
Richard Eastman - Robert W. Baird & Co., Inc.: Yeah. Just in the quarter, the second quarter, international, how do the geographies look relative to the core growth rate, total?
Brian D. Jellison - Roper Technologies, Inc.: So, for a company overall, U.S. led the growth. U.S. was mid-single, then sort of rest of the world was more sort of up a little flash.
Richard Eastman - Robert W. Baird & Co., Inc.: Okay. Great. Thank you.
Operator: We'll take our next question from John Quealy with Canaccord Genuity.
John Quealy - Canaccord Genuity, Inc.: Hi. Thanks. God morning, folks. Just two quick questions. First in the software business, can you comment on how sub adds, renewals, retention worked out? And then, as a side to that, on Aderant, congrats on the big wins. Is it big enough to set up a tough comp next year, or not?
Laurence Neil Hunn - Roper Technologies, Inc.: So, this is Neil. On the software, you really have to go company by company on the adds and the retention rates. There's nothing that stands out substantially outside of history. I would comment that the ConstructConnect business is on the slides, recurring revenue growth has accelerated over the past several quarters. So that's a nice highlight for that business, good execution on the sales and marketing front. On Aderant, it's harder to tell. I mean it's a great quarter. Seasonally, the second quarter is generally strong for the business, just the way the market buys. And we'll just have to see how the pipeline builds specific to next quarter. I would conclude on the Aderant comment that the competitive landscape is stable, our value proposition is high, and nothing has changed in that regard. So the outlook for that business for the next several years remains nice.
John Quealy - Canaccord Genuity, Inc.: Great. Thanks, folks.
Operator: That will end our question-and-answer session for this call. I'll now turn the call back to Zack Moxcey for closing remarks.
Zack Moxcey - Roper Technologies, Inc.: Thank you, everyone, for joining us today, and we look forward to speaking with you during our next earnings call.